Operator: Good day, ladies and gentlemen, and welcome to the fiscal year 2014 Richardson Electronics earnings call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions). As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Mr. Ed Richardson, CEO of Richardson Electronics. Please proceed.
Edward Richardson: Good morning and welcome to our fourth quarter 2014 conference call. Joining me today are Kathy Dvorak, Chief Financial Officer; Wendy Diddell, Executive Vice President of Corporate Development and General Manager of Canvys; and Greg Peloquin, Executive Vice President and General Manager of EDG. As a reminder, this call is being recorded and will be available for audio playback on our website. Before we get started, I’d like to remind you that we’ll be making forward-looking statements, and they’re based on current expectations that involve risks and uncertainties. Therefore our actual results could differ materially. Please refer to our press release and SEC filings for an explanation of our risk factors. Fourth quarter revenues were $35.4 million, a 0.6% increase compared to net sales of $35.2 million in the prior year. Sales for EDG were $27.4 million which was up 3.8% from the prior year, reflecting increased demand for core products. Sales for Canvys were 7.9%, down 9% compared to the prior year fourth quarter due to declines from specific customers in our north America OEM segment offset by growth in healthcare in New York. On a full year basis, sales were $138 million versus $141.1 million in FY13. EDG sales were up slightly at $103.3 million versus $102.6 million, while Canvys sales were down year over year at $34.7 million versus $38.5 million. In the fourth quarter, we showed a nice increase in revenue compared to the third quarter. We're seeing signs that indicate global economic conditions may be stabilizing, particularly in Asia Pacific and Europe, where demand for our core products was up over the prior year. We’re also seeing continued growth in several key applications and markets, including industrial heating for textile, wood, plastics and food processing. The automotive industry, which utilizes CO2 laser cutting equipment, marine radar and microwave technology for industrial heating, were also up nicely. Our sales of consumable laser parts such as lenses, nozzles, bellows and mirrors, doubled compared to last year with good margins. Last quarter, we spoke about the investments we’re making in vacuum capacitors, microwave generators, high voltage power supplies and replacement parts for laser and industrial equipment. All of these areas showed growth in the fourth quarter sales over the prior year, although still below expectations. While it will take some time, we’re confident these investments will provide a solid return in investment. In May, we terminated our discussions in regards to a large potential acquisition that we’ve been negotiating for well over a year in the diagnostic imaging replacement parts market. Unfortunately the risk versus reward did not justify the price. We have a disciplined approach to acquisitions and valuations. While it was disappointing to walk away, it was the right thing to do. We’re not however walking away from our strategy. It just may take us longer to get there. We’re continuing to meet with smaller companies who manufacture or supply replacements parts for CT and MRI equipment. The demand for high quality replacement parts continues to increase as healthcare reform makes it more critical than ever for hospitals to focus on reducing costs in the face of declining diagnostic reimbursements. We firmly believe we can play a significant role as an independent parts supplier in the healthcare market in the future. We’re now considering several smaller acquisitions in these markets, and we’re investing in executive management and capital equipment to grow sales and earnings in the diagnostic imaging parts markets through internal growth and complementary acquisitions. Now I'll turn the call over to Kathy to present the details of our fourth quarter and fiscal year 2014 financial performance.
Kathleen Dvorak: Thank you, Ed and good morning everyone. Fiscal 2014 was another challenging year for Richardson Electronics. Our performance fell significantly short of our expectations, as it is difficult to leverage fixed expenses on declining sales. Sales for the year were $138 million, down 2.2%. Gross margin increased to 29.7% from 29.5%. Operating expenses were $43.5 million for fiscal 2014, compared to $41.5 million in fiscal 2013. It is important to note that operating expenses in fiscal 2014 included $1.2 million of severance cost, $1.1 million of expense related to pursuing a large acquisition opportunity, $400,000 of expense for new product developments and $800,000 of expense related to our new system implementation. In addition to these additional operating expenses, we also took a $1.7 million non-cash goodwill impairment charge. With these additional expenses and the impairment charge, our operating loss for fiscal 2014 was $4.2 million. While we have not lost focus on expense management, we are investing in our future. We are building out our new IT platform, which will take a significant amount of effort and investment over the next six months. Once in place, we believe we will achieve the operating efficiencies and a platform one that will be flexible to accommodate our various businesses and growth initiatives. Interest income for the year was about $1 million and we received $2.5 million in proceeds from a legal settlement. Loss from continuing operations before tax was $700,000. And bottom line we had a net loss of $500,000. Cash and investments at yearend were $136 million. Our share count continues to decline and is now at $14 million. On a positive note, cash provided by operating activities was $4.6 million with working capital being a slight use of cash. Depreciation and amortization was $1.1 million for fiscal 2014. Capital spending was $2.8 million, primarily in IT investments, new machinery for manufacturing and equipment for our new product development group. We view fiscal 2015 as a year of creating a spring board for growth. Our top priority is to successfully transition to our new IT platform. This burden provides the foundation for us to aggressively pursue our growth initiatives in the future. Sales for fiscal 2015 will be in the range of $140 million to $150 million. Capital expenditures for the year will be approximately $4 million to $5 million, reflecting the IT investments in capital to support our growth initiatives. We believe these investments will position Richardson Electronics for long term growth and profitability. Now I will turn the call over to Wendy who will discuss the operating performance of Canvys.
Wendy Diddell: Thanks, Kathy and good morning everyone. We are pleased with the progress Canvys made in fiscal year 2014, positioning itself for future growth. We continue to focus on touch technology integration. As touch screens become the norm, replacing keypads and buttons for control, the technology continues to mature and the variations expand. Our engineering expertise and supplier relationships enable us to meet [image] interface requirements in the industrial and medical markets. During the year, we realigned the [alien] sales and marketing organizations on a global basis. This will help us leverage base platform products which will speed up our quoting process and strengthen our purchasing tower. Improved communication between our business segments will also allow us to capitalize on key customer wins. A growing number of our customers are global. These companies are standardizing suppliers across divisions and geographies to improve their purchasing power and operational efficiencies. More than any time in the past, we have an opportunity to use our relationships with customers in one country to gain access to divisions located in another country. Canvys is one of the few highly specialized display integrators backed by the global publicly traded company. Having the ability to provide global service brings significant relevance and credibility. Revenue growth during this fiscal year was tempered by challenging economic conditions, changing healthcare laws and a tight credit and capital spending environment. In spite of this, Canvys was able to generate and operating process while reducing inventory levels and improving working capital efficiency. During the year we added several prominent, original equipment manufacturers to our customer list, improved margins in Europe and reversed the downward trend in sales in both our European healthcare business segments. In the fourth quarter Canvys sales were $8 million versus $8.7 million in the fourth quarter of fiscal year 2013. Gross margin during the fourth quarter improved to 25.9% versus 24.6% last year. Both the Healthcare and the European OEM segments showed sales growth in the quarter over prior year. The overall decline in sales is partially a result of several long term North American OEM customers that experienced a temporary slowdown in demand caused by economic conditions, delays in new product rollouts and other issues outside of our control. The relationships are solid and we expect sales to these customers to improve. We are also seeing a decline in our Legacy Digital Signage business. Several years ago we elected to deemphasize Digital Signage due to the commoditizing nature of the displays and the significant number of high volume display companies pursuing this business. These companies often target end users through large IT integrators already under contract with the end customer. We grandfathered a few key digital signage customers. What we are seeing now is a shift in their buying to off the shelf displays. On a full year basis, Canvys sales were $34.7 million versus $38.5 million in fiscal year 2013. Margins improved to 27.1% from 26.3% last year due to improvements in our European margins. As we saw in the fourth quarter, the decline in revenue was due to specific customer declines in the North American custom OEMs business segment. As we move in to our new fiscal year, the European business sentiment is that the economy is improving and investment in manufacturing equipment is anticipated to rise. We remain cautiously optimistic that the U.S economy will pick up steam in the second half of 2014 as well. Healthcare spending continues to be tight and buying decisions are based and more on price. But we are well positioned to offer the highest quality displays and improved functionality at a significant value. Given the project nature [key] in this business we may not see immediate growth from new customers. We are already seeing volume requirement increases from some of our long term OEM customers. In the interim we are adjusting our production resources to meet demand and closely monitoring inventory to improve working capital efficiency. We are also analyzing the leverage our North American production resources. We currently use third companies in Europe to assemble displays for our local customers and we may be able to relocate some of that work to the United States. Richardson Electronics intends to make a significant investment in Healthcare which Ed will tell you about later in the discussion. The segment of Canvys business that provides picture archiving and communication system displays or PAC displays will become part of this much larger corporate initiative. PACS displays are high resolution monitor used to review images generated by CT, MRI, mammography and other diagnostic imaging equipment. This [inaudible] our own image systems label and have design features that are unique to Canvys. We also sell displays in related equipment for operating theaters such as equipment from [inaudible] Medical and FSN Medical. These companies are technology leaders in the surgical imaging market. As we expand the range of products and services Richardson Healthcare offers to independent service providers and hospitals on a global basis, we will by default increase awareness of our PACS displays and operating theater products. Having a broader range of products and services will also increase our relevance to the thousands of hospitals throughout the US and show the results in greater selling opportunities. Within Canvys, there continues to be sufficient room for this revenue growth without incremental headcount and our team will remain focused on improving working capital efficiencies. I will now turn the call over to ED, to provide an update on EDG.
Edward Richardson : Thanks Wendy. EDG sales in the fourth quarter were the strongest quarter of the year at $27.4 million, up 3.8% from the prior year. Gross margin was 29.5% compared to 30.6% last year due to a significant inventory write off. On an adjusted basis, EDG margin in the fourth quarter was 31.1%. Revenues in Asia Pacific grew up 5.9% and Europe was up 2.9% compared to last year. Sales for the fiscal year were $103.3 million, a 30.6% margin versus a $102.6 million, a 30.6% margin last year. Business in several of our core product lines and market segments increased. Demand for industrial products in the textile, wood and plastic industries continue to improve and as a result sales in our industrial heating business increased compared to last year. The CO2 laser tube business and associated consumable parts performed well. Sales of consumable parts doubled over the prior year at better than normal EDG margins. Sales in the marine business increased substantially compared to last year as major ship builders ramped up production. These businesses are supported by relationships with our key suppliers. Our supplier relationships are stronger than ever and we are continually discussing ways to extend our partnership with new products and markets that take advantage of our global supply chain. Bellows and high powered vacuum capacitors were also up during the quarter as our efforts to further penetrate this business begins to take hold. The engineering firm that we acquired last July in Germany continues to expand our activity in the power capacitor markets by introducing new products and technology, and by helping our sales team engage with OEMs as well as our traditional end user customers. We believe we’ll continue to take more share of this $200 million market as the price range extends and our sales teams become more focused on OEM opportunities. Our [core volume] for the new RF and microwave generator applications across various markets including mining, industrial heating, cooking, drying and plasma continues to increase. One of the more exciting opportunities was from a U.S based engineering company focused on sustainability solutions. We’re working on a new microwave generator which includes a generator and the applicator. And the applicator applies microwaves to the product using the generator as the power supply. The system is being introduced to a wide range of customers and could result in significant future orders. During the quarter we extended our manufacturing capability to fulfill orders such as the microwave generator order we received from China. The initial prototype order was for 9 generators and exceeded $1 million. We signed an exclusive agreement with this customer in March, which provides for a minimum purchase of 27 generators, or $3 million in revenue over 3 years with potential for more than 100 systems to be installed over an extended period of time. We anticipate to proceed to the next order for 9 generators this quarter. Our new product development team of microwave engineers continues to work closely with the sales and marketing groups to identify niche products that are being requested by our customers. The new product development team is also working closely with the manufacturing group on the microwave generators. In addition, they are working on a line of high voltage power supplies with will be used in the microwave generators and sold as standalone products. We will continue to make investments in this team. We firmly believe bringing a new level of engineering expertise to Richardson Electronics’ will enhance our ability to create our own intellectual property and generate higher margin sales in the future. Our investments in EDG will take some time to contribute to overall profitability. We remain committed to investing in product developments that provide opportunities for future sales growth. To help us capitalize on our investments and provide a fresh perspective on the business, Greg Peloquin has returned to Richardson Electronics as Executive Vice President and General Manager of EDG. Greg will have responsibility for EDG sales and product management and will report directly to me. Over the past several years, we struggled to realize significant growth within EDG, and we’re excited to have Greg come back to the company with his enthusiasm for the business and idea for the future. Under Greg’s management, a new level of excitement and strategic direction will reenergize EDG’s team as well as strengthen our RF position with our existing vendors. Greg will also help identify new growth markets which capitalize on our existing infrastructure and core capabilities. To position Richardson Electronics for the future long term growth, we will establish three business units. First, our core business which includes EDG and related growth initiatives, and second Canvys focusing on custom display opportunities; and third will be Richardson Healthcare. In each of the business units, we’ll carefully evaluate market opportunities and make strategic investments. We’ll continue to look for acquisition targets that are complementary to the business, and that have reasonable evaluations. We had hoped to announce a significant acquisition as part of our healthcare initiatives. Unfortunately, we were not able to come to terms with the seller. This does not diminish our outlook for building a line of replacement parts for CT and MRI equipment. [Customers] are under extreme pressure to reduce cost by 20% to 40%, while gearing up to provide services to a much larger customer base as the growing demand for alternative sources to the OEMs replacement parts on a global basis. Having inventory available in Europe, Asia and Latin America is critical to capturing this market. Currently, we sell Magnetrons, [inaudible] and power grid tubes to third party service organizations that support a growing number of hospitals worldwide. We also sell PAC displays under our image systems brand directly to hospitals primarily in the U.S. All these products are critical replacement parts for diagnostic imaging and position us well to increase sales with other related products. Our initial focus will still be on glassware, which includes flat panel detectors as well as CT and x-ray tubes. We’ve already signed an agreement with Thales to distribute a complete line of flat panel detectors for replacement and diagnostic imaging equipment. This line offers an immediate opportunity to sell high value products to hospitals and independent service organizations at prices significantly below the OEMs. The retail price of these detectors ranges from $75,000 to $100,000 each, well below the price offered by the OEM or the original equipment manufacturers. We are also working with an engineering firm to develop flat panel replacement solutions for older digital X-ray equipment. Our replacement solution will extend the life of the system and improve reliability. We plan to release our first offering later this year. In fiscal 2015 we intend to build an experienced healthcare management team to further define and lead the Richardson Healthcare business. This team will be responsible for growing the sales of flat panel detectors, industrial tubes and PACS displays as well as establishing our capabilities in refurbishing and selling CT tubes, servicing MRI amplifiers and identifying acquisitions of companies in the diagnostic imaging parts and equipment business. With our global infrastructure, technical sales team and experience serving the healthcare market, Richardson Electronics has the unique opportunity to become a significant player in the replacement parts market. We are committed to use our cash to make strategic acquisitions, invest in growth strategies and repurchase stock. In the last several years we’ve made three small acquisitions which have provided additional resources, customers and now base support to EDG. While the market of tubes has been declining, we’ve been able to increase market share, maintain sales and improve margin. We are investing in resources to develop our own intellectual property and will grow sales in new markets such as healthcare while maximizing the use of our existing global customer base and infrastructure. We spent $56 million on our stock buyback program which has reduced the number of shares outstanding to 14 million and we’ll continue to opportunistically purchase shares. We currently have $18.6 million remaining in our share repurchase authorization. Certainly economic conditions have made sales growth challenging. We use this opportunity to streamline the EDG organization and are reallocating resources to higher growth businesses without tearing down the critical infrastructure. We believe sales in fiscal 2015 will be in the range of $140 million to $150 million. We are confident that over the next three years our investments will return higher sales growth and earnings. We appreciate your continued patience and support. At this point Kathy, Wendy, Greg and I will be happy to answer your questions. May we please open the line for questions?
Operator: (Operator Instructions). Your first question comes from the line of Mark Zinski with 21st Century.
Mark Zinski - 21st Century Equity Research : Ed, I wanted to clarify the gross margin for this quarter. I think you indicated there were some inventory write-offs and without those gross margin would have 31.1%. Is that correct?
Edward Richardson: Yes. The inventory write-offs had to do with these smaller acquisitions that we made. Normally we buy these companies at asset value and pay them their cost for the inventories. It takes us a while to realize that some of the inventory is not salable. So we took a write off on some of it at the end of the quarter.
Mark Zinski - 21st Century Equity Research : Okay. Going forward on gross margin, do you have any expectations there in terms of, do you think it can hover around that 30% range or is the product mix and geographical mix going to make it a tad volatile in 2015?
Edward Richardson: I think it will go up slightly. A very large portion of our EDG business has to do with the agreement that we have with Thales. The whole charter of that agreement was to convert OEM business that Thales had been doing, selling directly in the past to user business. We’ve done quite well in that area, but the margin with the Thales business is still lower that our historic business. For example we have the same type of agreement with CPI and our margin on the CPI business runs about 36%. So I think over time you can see the Thales business margin increase. I wouldn’t look for anything dramatic, but maybe one point or so in each year is logical for EDG.
Mark Zinski - 21st Century Equity Research : Okay. On the acquisition front, I just wanted to dig a little deeper into your mindset there. Obviously you’ve got a pretty expansive international network, and you’re building up your IT infrastructure. It seems like you’re confident that the growth internationally is going to be rather sustainable and that you’re willing to invest in that versus potentially divesting some international units. So you definitely seem committed to the international network. And now I guess with the larger acquisition that didn’t pan out, are you looking more at now small sort of regionally based acquisitions to really leverage that international network?
Edward Richardson: Yeah. So our focus right now is looking at companies in the diagnostic imaging space who supply equipment and parts and those companies are primarily U.S based. Our objective is to take their strategy in the supply of their parts and they run it through our global infrastructure. We still have subsidiaries in 25 countries of the world. So we want to take advantage of that infrastructure to sell diagnostic imaging parts all over the world.
Mark Zinski - 21st Century Equity Research : Okay and then I guess for Wendy, just had a question for Wendy. Is the Affordable Healthcare Act would you say the major reason why there’s hesitation in CapEx spending in the healthcare industry or is it a combination of factors?
Wendy Diddell: I think that’s one of the major driving factors certainly. Ed mentioned reimbursement rates under the Affordable Healthcare Act. There’s a lot more people coming in the system, but those rates are basically going down and we’re just seeing a lot of consolidation amongst the hospitals. We’re not seeing a lot of new capital purchases. So I think what we’ll see ultimately again is the opportunity for replacement parts will grow, but right now it really has restricted capital purchases and we don’t see that changing in the very near future.
Mark Zinski - 21st Century Equity Research : Okay so spending is sort of in a defense mode at least for the near term?
Wendy Diddell: Yes.
Operator: Your next question comes from the line of Andrew Shapiro with Lawndale Capital Management.
Andrew Shapiro – Lawndale Capital Management: Good morning. I have a few questions some of which you may have answered early in your script I was a little late to the call. But I wanted to clarify, the goodwill impairment charges you have are related to different acquisitions for which you’re having these obsolete inventory charges from acquisitions or it’s the same ones?
Edward Richardson: No, it’s the same ones. The goodwill impairment is from the three little acquisitions, really two of them that we completed in the last three years.
Andrew Shapiro – Lawndale Capital Management: Okay and when you’re structuring these deals, especially they’re -- some of these are smaller companies, why not structure an escrow for potential obsolete slow moving inventory which you end up in writing off and it’s in a sense a cost to the acquisition. The malleable you obtain for these things is higher than what first appears to be the malleable.
Edward Richardson: Well, we normally do and there’s more to it than what you’d see. Usually we write into the contract for any inventory that’s not saleable in the 12 month period of time. We take a reserve for it. We go in and we take the inventories and then we go over the historic sales records of the company involved. And anything that’s over 12 months inventory on hand we don’t purchase. In this case there were products that we’re really not too familiar with and so we did have some write-off. But it’s unusual I’ll say.
Andrew Shapiro – Lawndale Capital Management: Okay. And then when you refer to expenses related to potential acquisitions, what are you talking about and are those expenses part of the SG&A or a different line item?
Edward Richardson : The expenses are basically legal expense that dealt with this very large acquisition we looked at for over a year.
Andrew Shapiro – Lawndale Capital Management: Okay. That’s what I must have missed in the early script. And do they go to the SG&A line item and is that what accounts for a sizeable increase of your SG&A year over year?
Edward Richardson : Yes, that’s correct.
Andrew Shapiro – Lawndale Capital Management: Okay. And are there any other notable increases in your SG&A year over year that have been taking place contributing to I guess we’d call it a loss of your operating leverage?
Edward Richardson : Yes. There was a $1.1 million in severance.
Andrew Shapiro – Lawndale Capital Management: Okay, a one timer. And lastly again probably covered in your script, maybe not. You obviously have a sizeable cash hoard here. What is the plan? If you are moving in the smaller acquisitions certainly those cash balances would account for probably more smaller acquisitions than one has the time of day to deal with. Are there plans regarding the dividend rate, stock buyback given your current stock price or other productive uses of your capital?
Edward Richardson : Yes. At the moment we are considering several small companies in the diagnostic imaging space. And in addition to that we have about $18 million that Kathy mentioned available for stock buybacks. So, we’ll continue that program. In the past we’ve had inside information dealing with this large acquisition for some period of time which kept us from buying more stock back. But now that’s behind us so we should be able to buy some additional stock on an opportunistic basis here going forward. The other thing that we are going to do is the acquisition would have used a substantial portion of the cash but we intend to a do a lot of this on a greenfield basis. There will be some capital investment in equipment and a fair amount in executive management that we are bringing in to healthcare and sales management as well.
Andrew Shapiro – Lawndale Capital Management: Okay. And now if the window is open for a stock buyback, then just a suggestion that means the legal window is open to establish a 10b5 stock purchase plan which could operate in the event your window closes again in the face of an acquisition since you’ll have already established a predetermined plan. So, something to look forward with your advisors to get that in place while the window is open.
Edward Richardson : That’s a good suggestion. We’ve used that vehicle in the past and we’ll certainly look at it again.
Operator: (Operator Instructions) Your next question comes from a line of Al Tobia of Sidus.
Al Tobia – Sidus Investments: Just to go with the last call, I understand you’ve been blocked out from looking at a large deal and it sounds like you couldn’t come to a price that made sense or risk adjusted price that made sense so you decided to pass. What level of your stock is an opportunity? You’ve used the word opportunistic a lot of times. At what level is your stock not an opportunity to add values by buying it back?
Edward Richardson : I’m not sure we’ve determined that. Certainly the cash value is right around $9 and change per share. We have $136 million in cash and there’s 14 million shares out there. So any one can do the math. And we understand that so we’ll continue to look at buying stock back.
Al Tobia – Sidus Investments: And the reason that I would ask this more specifically is what level of cash consumption will you have from your investment initiative do you think? I'm not saying the small acquisitions, but just to grow the business.
Edward Richardson : I think until we bring a management team into healthcare that’s quite familiar with the business we won’t be able to give you an accurate answer on that. The other thing too is that we’re still open to doing larger acquisitions and we continue to look and we’re hopeful that there may be some out there.
Al Tobia – Sidus Investments: Right. I mean at some point in time, I would hope that your stock would become a currency to do an acquisition. But it seems like without a dividend that is relevant to affecting the stock price, with the B-share still existing and without a significant buyback; the stock is not a currency. So the only currency is the cash and now we’re holding the cash in the hope to maybe come by another acquisition. But it seems like the best acquisition now that you’ve identified a plan is your own company.
Edward Richardson : Well, it's an interesting observation. In the history of the company, we’ve never used our own stock for acquisitions.
Al Tobia – Sidus Investments: But other companies have. Like if you actually got earnings to go up and shrunk your share count and your stock went up, it may become a currency you know?
Edward Richardson : Yes, I understand.
Al Tobia – Sidus Investments: Okay. Just one other question, Ed. What level of kind of growth do you think could be achieved without making a large acquisition when you look at the opportunities you have in front of you now that you’ve restructured the company on these three groups? What kind of range of growth could you look at beyond the next 12 months?
Edward Richardson : Well, it's going to probably going to take us three years to get traction, especially with healthcare and doing it organically unless we’re able to do some acquisitions. But once we get past that, I think 10%, 15% is reasonable growth.
Al Tobia – Sidus Investments: Okay, thanks.
Operator: (Operator Instructions) Your next question is a follow up from the line of Andrew Shapiro. Please proceed.
Andrew Shapiro – Lawndale Capital Management: Thank you. Following up on the last questioner’s line of questioning, I don’t the stock ever is going to attract a valuation malleable that you’re going to want or be able to use it as a currency as long as you have a dual class voting structure in place. I'm kind of new to this situation. I'm just wondering what attributes exist on the super voting stock? Is there a sunset provision? Are there other factors for which the super voting shares eventually go away and this becomes a single class stock situation? Is it a passing of the torch in the family generation? Or what are the factors surrounding its continued existence as well as I guess protections for us minority voting rights in the larger share class?
Edward Richardson: First off, all the dividend is I believe 90% of the dividend it's paid to the common. When the [inaudible] transfers the 10 times voting rights and do not transfer except for family members. So if the stock transfers any other way, it turns into common stock. And I don’t know all the other particulars right of the top of my head, but that’s the major ones.
Andrew Shapiro – Lawndale Capital Management: Okay. Well, then obviously up since the valuation malleable in here, I think you’re stuck using the cash, but it's balancing the cash until you find an acquisition earns nothing. And we wouldn’t want it to burn a hole in the pocket either causing a poor capital allocation decision just to buy an acquisition for acquisition’s sake. How do you and the board, I guess weigh and balance the scope of a buyback allocation with that of an acquisition? What I mean by that is, yeah you have a buyback authorized. It's been authorized. You’ve been shut out of the market. But you can be aggressively buying back your shares here at a fraction above net cash value or you could be aggressively buying back your shares at this level potentially with this size of cash, even making in a tender. Have those ideas or thoughts entered the boardroom and had discussion? What’s the output from that?
Edward Richardson:
Andrew Shapiro – Lawndale Capital Management: Well, you guys shouldn’t be in the business of trading it. If you bought shares back, this is before my time. If you bought shares back at $11 and they were accretive use of capital and I’m talking about book value, cash flow generation, if they are an accretive use of capital, one shouldn’t look back poorly upon that, oh you bought it at $11 and now it’s at $9. First thing is you can’t uptick it when you are doing a buyback unless you have a tender anyway. And you buy the shares when they’re a good accretive use of capital and it’s not an issue of trading the shares in the market. That only counts when you are paying a premium for your shares and you are Microsoft trying to avoid dilution from employee stock options or something. So I don’t think you guys should think poorly about the $11 purchase, nor frankly do I like the idea that you guys are thinking about it as well it was at $11and it was at $9. My argument would be you should have never left the bid and as long as someone wanted to give you shares at a very accretive $11 a share, you should have bought every single share offered to you.
Edward Richardson: Well, we appreciate your opinion and at the same time for part of that, we weren’t able to buy shares, but we’ll continue to look at it in the future.
Andrew Shapiro – Lawndale Capital Management: Right. When you figure out your price, I would just not leave there and look back and regret, oh the stock price went lower because you are not trading stock when you are doing a buyback. You are buying pieces of a company.
Operator: There are no additional questions at this time. I would now like to turn the presentation back over to Mr. Ed Richardson for closing remarks.
Edward Richardson: Thank you, Liza. Thank you again for joining us and for your ongoing support of Richardson Electronics. We look forward to discussing our fiscal 2015 first quarter results with you in October. Thanks a lot.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect, have a great day.